Juergen Rebel: Good morning, everyone. We welcome you to today's call on the second quarter results. Aldo, our CEO, will comment on business and strategy; Rainer, CFO, will focus on financials. We're referring during the call to the earnings call presentation that you find on our website, but there is also a full comprehensive presentation with further details. Aldo, please walk us through the latest results.
Aldo Kamper: Thank you, Juergen, and good morning, everybody. Another solid quarter. Profitability is improving. Reestablish-the-Base savings have already reached the 2025 year-end target. Our balance sheet deleveraging is progressing as planned and all this against the backdrop of high macroeconomic uncertainties despite some promising signs in auto and industrial markets. We're on Slide 3, looking at the financial performance of the group. Revenues came in at EUR 775 million, exactly at the midpoint of the guidance. We saw a single-digit percentage improvement in our semiconductor business. In the automotive lamps aftermarket business, we had a pretty steep inventory correction at our U.S. retailers on top of normal seasonal decline. And the weaker U.S. dollar cost us about EUR 35 million top line compared to Q2. Year-over-year, revenues are down 5%. This is due to the cyclical inventory correction in automotive LEDs, the auto aftermarket lamps inventory correction, Reestablish-the-Base portfolio effects, and the weaker U.S. dollar. If we truly look at a like-for-like comparison based on today's core portfolio at constant currencies, we actually would have grown by about 2% year-over-year. Profitability. Adjusted EBITDA margin improved quarter-over-quarter and year-over-year by more than 2 percentage points to 18.8%. Again, higher profitability with lower revenue clearly showed our improved earnings profile, thanks to the Reestablish-the-Base program. The continued nonrefundable engineering payments also helped. Various other effects were supportive as well. Among those were building of inventory for the ramp-up in Q3 and Q4 in the sensor products and government funding catch-up payments. Now quickly on the segments, Slide 4. A look at the traditional halogen lamp business. Sometimes one gets punished for good performance. The pretty steep, much more than normal seasonal step-down compared to Q1 is due to an inventory reduction at our U.S. retail chain customers. Our delivery performance has just been so good that they told us that they can live with less inventory on their side. Year-over-year, you see this effect as well. In line with normal seasonal development, we recorded approximately EUR 40 million of specialty lamps sales for industrial and entertainment applications. This is the business that we just sold. We will come to that later. Profitability suffered in line with revenue. We saw an adjusted EBITDA margin of 15%, actually in line with fall-through, if you remember that we had positive one-offs in Q1 that pushed EBITDA down beyond the typical run rate. Compare the EUR 29 million with EUR 39 million a year ago, you see that we managed to fall through pretty well, only EUR 10 million impact on EBITDA with approximately EUR 30 million less revenue. Now on semis. I'm on Slide 5, business unit OS. A small recovery in the Opto Semis with 2% revenue up quarter-over-quarter, EUR 344 million compared to EUR 336 million. A moderate more seasonal improvement in industrial, mainly driven by horticulture, but also slightly improving auto business drove this development. It is more than balancing the negative impact from the weaker U.S. dollar. Adjusted EBITDA jumped by more than 60% quarter-over-quarter to EUR 79 million, coming in at 23%. If you back out some specific effects in Q1 and consider also the typical funding catch-up in Q2, it's pretty much in line with improved factory loading and slightly higher revenue. Now Sensors and ASICs on Slide 6. A slight sequential increase of 1% against normal seasonal trends. The majority of CSA business is in consumer applications, CA, smartphones and wearables. Pretty stable due to resilient demand for new products. But to our surprise, already discontinued products also still contributed quite a bit, slight improvement in demand for industrial and medical products complete the picture. Year-over-year, business grew by 7%, mainly driven by the new sensor products, which are more than compensating for the revenue loss from the phased out noncore portfolio. Adjusted EBITDA increased to EUR 43 million, resulting in an 18% adjusted EBITDA margin. Preproduction of sensors for the ramp-up in Q3 and Q4 helped. EBITDA is now twice as high as a year ago, showing the structural improvement in profitability, thanks to Reestablish-the-Base and better factory loading. Now looking at the Semi end markets in summary, and we are on Slide 7 now. Sequentially, 2% up and year-over-year, 2% down. If we exclude the noncore portfolio that we discontinued last year, the Semi core business grew year-on-year by approximately 7% at constant currencies, well in line with our semiconductor growth vector. First, automotive. The LED inventory correction seems to be coming to an end. We saw solid book-to-bill ratio above 1 throughout the quarter. Consequently, we saw a slight sequential increase in revenues. However, there's still a lot of uncertainty in the supply chain. We still see a lot of short-term ordering, which is regularly below normal lead times. Fulfillment channel inventories are in check, actually a bit down compared to last quarter. Year-over-year, we still see the impact of the LED inventory correction cycle with revenue down 9%. Second, industrial & medical, up sequentially by 21%, a lot of seasonality, but it also seems that the cycle is stabilizing. As always, the picture is much more granular in detail that the verticals we are serving are often completely uncorrelated. Horticulture revenues went up seasonally. Professional lighting saw good traction. On top, we are winning share from competitors that are stepping out. A clear sign that the consolidation in the LED market is gradually happening, and we are benefiting from this trend. Demand in industrial automation is still muted, takes some time in view of inventories at our customers until the green shoots in end demand are reaching our order book. In medical, orders picked up. When we look at the channel, Europe and the U.S. did better than before. China was rather muted. Third, consumer. The main business is sensors for smartphones and wearables. We saw the typical seasonal decline. However, year-over-year, we saw a 15% increase in revenues. Again, our new sensor products more than compensated for the phaseout of the noncore portfolio, but we also had still noteworthy orders for discontinued legacy products. Now let's talk about new business. I'm on Slide 8. Winning new business is obviously essential for underpinning our midterm growth model in semis. I'm actually very happy with the market traction during the first half of this year. We could win again designs with a cumulated lifetime value of EUR 2.5 billion, similar run rate like in the past 2 years. This number is a cumulated figure of more than 2,000 individual designs that our passionate teams have won. Let me comment on a few ones. In automotive, we strengthened our bread-and-butter business in classic forward lighting and signaling. The total value in the first half came in with more than EUR 800 million. We landed further design wins of our product, EVIYOS 25,000 pixel forward lighting product at Chinese and Korean carmakers. We also win continuously new in-cabin designs. Also 2 examples from I&M. Our image sensors will be deployed in night vision applications, and we also won share in North America when it comes to professional lighting. When it comes to consumer devices, I'd like to mention the design win for extremely precise temperature sensors that will be used for glucose monitoring. Let's flip to Slide 9. Isn't that a beautiful car? It's NIO's latest flagship model, the ET9. It comes with all bells and whistles you expect from a state-of-the-art Chinese premium EV. What distinguishes it even more is the integration of a 25,000 pixel EVIYOS matrix headlamp and active communication interface between vehicle, driver, and surroundings. This advanced functionality was realized together with our partner, Marelli. The high beam extends the maximum projection distance by more than 100 meters to 500 meters. But what impresses me most is the real-time adaptive beam shaping capabilities that are gradually emerging. It features a tracking light carpet that predicts the vehicle trajectory or projects, allows for customer light signatures for branding or projection of symbols and is future-proof as a software-defined lighting system. I believe the true potential of technology is just emerging. Now on to Consumer on Slide 10. Strong customer relationships are at the core of our business. As a global leader of optical sensors, we are naturally supplying to all the Chinese smartphone vendors as well. We feel very honored by the Best Delivery Award that we received from OPPO for our exceptional product quality and impeccable delivery performance. Moving from sensors to LEDs. I'm on Slide 11 now. It has taken us many years, but finally, we closed in on our long-standing competitor, Nichia, and you can consider us now the share of #1 in the LED market when looking at the market share rankings from TrendForce. Admittedly, the currency development helped a bit, but nevertheless, it's a testimony of our relentless efforts to bring new products to the market and expand our position with customers worldwide. Our leading position in the most attractive part of the LED market, automotive, is instrumental in driving our global share. I'm personally quite proud of this, especially because I have led OSRAM Opto Semiconductors for many years before it became part of ams OSRAM, and we have been working towards this #1 goal ever since, and now it is within reach. Switching to new products in our traditional business, let's look at Slide 12. As part of our last-man-standing strategy in the traditional automotive lamps business, we are also working on new products for the aftermarket channel. In Spain, for example, it will be legally required to have connected warning lights onboard every registered vehicle, starting 1st of January 2026. We are providing these emergency lights and will be capturing a sizable chunk of this emerging market through our product and brand strength. In case of emergency, you no longer need a warning triangle, and through its connectivity, it automatically warns other traffic in the vicinity. With this, let me also give you an update of the Reestablish-the-Base’ program, which has been so instrumental in improving and structurally stabilizing our bottom line. We are on slide 13. The implementation works very well. End of June, we already passed the mark that we had set ourselves for the end of 2025. We have approximately EUR 160 million of implemented run rate savings by now. The effects are clearly visible in our bottom line. Latest until end of 2026, we want to reach EUR 225 million Euro of run rate savings. All necessary measures and actions to realize that are identified and are being put in action. Now it is time for more details on the financials. And Rainer, please tell us about the latest progress.
Rainer Irle: Thank you, Aldo. Hello, everyone, from my side as well. We are on Slide 14. Last time, we shared our plan to de-leverage our balance sheet and get to a net debt/adjusted EBITDA ratio below 2. We talked about the 5 steps you see on this slide. We are progressing well. First, we are continuously improving our profitability and free cash flow yield through Reestablish-the-Base and growth in the core business. We are ahead of plan with our cost savings – Aldo just explained it. Profitability is improving as well, as you can see when you look at our Q3 guidance. Second, no specific news yet when it comes to selling the empty factory in Kulim. We continue to have strongly interested parties, but the process needs patience. Third, as promised, we extended the revolving EUR 800 million credit facility with our banks for having a temporary financing means when large portions of the outstanding OSRAM minority shares might be tendered in conjunction with a final verdict in the appraisal proceeding. In the meantime we have also secured a long-term financing until '29 with tapping into the high yield bonds – I will come to that in more detail later. Fourth, just 2 days ago, we announced the sale of our Entertainment & Industrial lighting segment as the first element when it comes to divestments to generate well above EUR 500 million proceeds. To reemphasize, this is just the first step. The proceeds from this transaction are just a small portion of the entire amount of disposal proceeds that we are targeting. Without being able to go into further detail, the other processes are progressing as planned. After the first 4 steps are done, we will refinance the '29 maturities at better conditions, bringing us to our goal of interest payments below EUR 100 million a year. Now I want to spend a few words on the business that we sold to Ushio. Take a look at Slide 15. We sold our Entertainment & Industrial Lamps business to Ushio for EUR 114 million. The deal is expected to close in the first quarter of '26 – subject to the usual closing procedures. We hold strong positions in this traditional business. The products range from specialty lamps for infrastructure and cinema applications to extremely sophisticated light sources for semiconductor wafer fabrication equipment. Last year, the business contributed approximately EUR 170 million to the topline of Lamps & Systems. About 500 employees will transition to the new owner. We are very glad that we have found such a good new home for our employees, as Ushio is a global leader in the field of optical technologies with a complementary portfolio and a long-term commitment to this business. Ushio is headquartered in Tokyo, Japan. With this, it is the right moment to look at our maturity table on Slide 16. End of March, we had EUR 511 million cash on hand. We had a slightly negative cash flow in Q2 due to inventory pre-production and regular payouts such as annual bonus to employees. We EUR had 57 million minority shares tendered in the last 6 months. We drew EUR 50 million of the revolver to cover this, which is– more a ‘cosmetic’ measure to keep the cash-on-hand balance at around EUR 500 million. Technically, we could run the business with less cash. By now, we already paid back the revolver with the proceeds of the tap. Now let me explain why we tapped in the '29 high yield bonds last week. Take a brief look at the maturity table on the right. In '26, we need to refinance the '27 convert in addition to the bulk of the outstanding OSRAM minority shares that will in all likelihood be tendered after the final verdict in the appraisal proceedings, which might happen later this year. Together, there are, let's say, EUR 1.3 billion to EUR 1.4 billion to be refinanced next year. We plan to reap “well above EUR 500 million of proceeds from the asset disposals, which will cover a bigger chunk of that refinancing need. Nobody can give us a firm indication how the credit market will look in a year from now given the persisting uncertainties in the global economy. For this, we decided to use this exceptionally good market window and live with a temporarily higher interest burden as a kind of “insurance premium” for making good use of the current market conditions. About EUR 150 million from the tap is earmarked for repurchasing '27 converts, –subject to market conditions. You can call me conservative for that.– This is exactly the way we want to approach our financials,– proactive and conservative. By the way, we sold the EUR 500 million at 104% and we aim at buying back the convertible bond well below par. The demand for our new paper was just overwhelming, which was the reason for upsizing the tap from EUR 300 million to EUR 500 million. It clearly shows the trust of the market in our conservative approach and our turnaround plan overall. Again, we want to thank all investors who supported us so well. So this also means that we have the RCF even on top, which should settle any liquidity concerns that may still persist in some corners of the market once and for all. Moving further down in the maturity table to '29, we have the U.S. dollar and the Euro high-yield-bonds. Now after the tap, we have EUR 1.25 billion in the Euro bond and approximately EUR 640 million equivalent in the U.S. dollar bond. The upsizing of the U.S. dollar bond was particularly attractive, as it increases the liquidity in the bond and makes it a reasonably sized tranche for the bigger U.S. market. The value of the Malaysia Sale and Lease Back transaction stood at EUR 420 million end of Q2. This EUR 9 million reduction compared to end of March is again due to a devaluation of the Ringgit during the quarter despite the regular quarterly accrual of part of the lease payment. This brings us to a slightly increased net debt position of just short of EUR 2 billion compared to end of March. The outstanding minority put options amount stood at EUR 528 million or 12% of outstanding shares. Minority shares with a value of EUR 42 million were tendered during Q2. Taking cash, RCF and bilateral lines into account, our available liquidity stood at approximately EUR 1.1 billion. And now including the tap into the bonds, we look at a very comfortable overall liquidity of EUR 1.6 billion. Switching now to Slide 17, cash flows. Second quarter operating cash flow came in at EUR 25 million. Inventories went up due to preproduction for Q3 and Q4 project ramp-ups. We paid out annual bonuses in Q2 as every year. And just for the avoidance of doubt, net interest paid is always included in the definition of operating cash flow. CapEx went down again. Only EUR 40 million in the second quarter. Q3 and Q4 will each be a bit higher, and for the full year, we will land maybe between 6% and 7% of revenues, well below our long-term average ratio of 8%. The 6% to 7% exclude the subsidy catch-up effects from previous years. Summing it all up, we finished the quarter with minus EUR 14 million free cash flow. Some of you might ask how we can stick to our full year free cash flow guidance of above EUR 100 million, especially with higher interest payments from the tap. Firstly, we certainly had a reasonable buffer at the beginning of the year when we introduced the above EUR 100 million guidance. And second, as with all other semiconductor companies, Chips Act funding is an important element of the free cash flow. We are still waiting on a significant cash in for the factory extension in Austria. We have received the notification from the EU already a while ago and the subsidies will be provided by the Austrian government. With those subsidies, including catch-up, our CapEx in '25 will be more like 4% of revenue, plus/minus. Thirdly, we had a kind of “windfall” from the closure of that decades-long lawsuit regarding misappropriation of trade secrets by a counterparty, which will contribute about EUR 37 million of cash in '25. And now let's switch to Slide 18, net earnings and earnings per share. On the left, adjusted figures. The adjusted net result improved year-over-year from minus EUR 1 million to EUR 18 million. Adjusted EPS developed accordingly. Net financing result came in with EUR 40 million. Income tax stood at EUR 10 million. Now as a rule of thumb, you can always take EUR 50 million to EUR 60 million adjustments per quarter due to transformation cost, depreciation of PPA and share-based compensation. However, in the second quarter we had the EUR 37 million windfall profit from the lawsuit, which reduced the adjustments. With that, the IFRS net result came in positive compared to a negative EUR 41 million a year ago. And diluted earnings per share came in with EUR 0.01 in the second quarter. And with that, let me hand back to Aldo for the summary and outlook.
Aldo Kamper: Thanks, Rainer, and let me summarize the key developments of the second quarter. I am on Slide 19 now. Looking at the business, in a difficult market, we delivered revenues and profitability at the mid-point of the guidance. We secured EUR 2.5 billion of future semiconductor business in H1. Execution of the Reestablish-the-Base program is 6 months ahead of plan with EUR 160 million run rate savings already implemented. Looking at the deleveraging plan and refinancing, the RCF was extended by another year to September '27. We sold our Entertainment & Industrial Lamps business to Ushio as the first step of the asset disposals, and we secured ahead of time the long-term financing of the outstanding OSRAM shares that might be tendered after the final verdict in the appraisal proceeding. The tap into the high yield bond market also enables a partial repurchase of the '27 convert. With that, let's look at Q3 and fiscal year '25 outlook on Slide 20. Third quarter, we expect revenues to come in between EUR 790 million to EUR 890 million. This assumes a USD exchange rate of EUR 1.16. Compared to the beginning of the year, the weaker dollar costs us a middle double digit million figure in the top line and EUR 15 million quarter-over-quarter. Automotive lamps will be preparing for the annual lighting season, meaning that many auto lamps are replaced in the ‘dark’ months that are coming now. Automotive LED seems to be getting out of the inventory correction. Together with the scheduled project ramps, we expect a quarter-over-quarter improvement. Industrial & medical is stabilizing. Consumer will have a strong ramp into Q3 due to the ‘smartphone’ season preparing for the Christmas sales and a wider use of our re-won socket that already ramped last year. We expect adjusted EBITDA margin coming in 19.5% plus or minus 1.5 percentage points. Now for fiscal year 2025, some comments. Looking at revenues. As I said before, second half will be stronger than the first half, although there are still uncertainties surrounding the fourth quarter when it comes to end-demand impacted from tariffs and headwinds from the weaker U.S. dollar. In terms of tariffs, we are mitigating most of the primary impact by renegotiating terms with customers such that they pay the additional levies. Surprisingly so far, global car production seems to be unaffected. If we are to believe the latest IHS forecast, they are roughly on the same level as a year ago. When it comes to smartphone sales globally, so far also they seem not to be affected too much. Looking at profitability. We are 6 months ahead in realizing our run rate savings from Reestablish-the-Base’. This will help stabilizing gross margin improvements and the bottom line. The impact from tariffs has to be watched, especially indirect ones, like the fact that volatility has driven gold prices to unprecedented highs. In total, we continue to assume that we will end up better than last year. Looking at cash flow. Rainer mentioned that we still expect significant inflows in H2 from subsidies under the Chips Act. In conjunction with very disciplined CapEx spending and stronger revenues in the second half, we continue to expect free cash flow to come in above EUR 100 million, of course including net interest paid. This concludes our opening remarks, and we are happy to take your questions now.
Operator: [Operator Instructions] And we have the first question coming from the line of Sébastien Sztabowicz from Kepler Cheuvreux.
Sébastien Sztabowicz: The first one is on the inventory situation in your main markets. You touched a little bit on what is happening in the automotive LEDs, but can you provide a broader message on the inventory level in your main markets today? Where are you standing versus normal level? And second one is linked to your gross margin trending into Q3. Where do you see the gross margin trending in the third quarter given the level of fab loading you had in Q2? Where do you see it in Q3? Just curious about the level of loading of the company in the second quarter.
Aldo Kamper: Yes, Sebastian, let me take the first one, and Rainer will take the second one. The inventory levels, as I pointed out, in automotive are actually in the channel slightly reducing, which is, of course, a positive trend. On the other segments, I would also say they are pretty normal. At least they haven't changed that much. On the medical side, we see shorter orders coming back, which is a good signal. On the industrial side, we still feel that our customers are overstocked and therefore, their demand is not really coming through yet. But in discussions with them, we do hear that their business is picking up. So we expect that to stepwise also then fall through to more orders into our markets. And then some short-term markets like Audi, there basically there's no real inventory in the channel because it's all project-based and based on the design win of our customers where we can deliver into. So overall, I would say nothing out of the ordinary on the inventory levels to be pointed out.
Rainer Irle: Yes. And Sébastien, on the gross margin, as we said that Q2 had a bit of positive effect of subsidies, R&D subsidies. So R&D costs will be higher in Q3. And therefore, to make for the EBITDA margin improvement, the gross margin improvement will be a bit higher than the EBITDA margin improvement.
Sébastien Sztabowicz: And the fab loading of the company today, where are you in terms of fab loading?
Aldo Kamper: Yes, it's hard for us to build sensible averages, but we are in the 70s, I would say, overall.
Sébastien Sztabowicz: 70s. And what is the impact do you estimate on your gross margin today because of this low fab loading versus normal fab loading? Are you able to quantify the impact on margins?
Rainer Irle: Yes. I mean we said last year that's kind of if you count the underutilization cost of all of our factories together, you are somewhere, let's say, EUR 250 million, though I mean, you will never have all factories loaded at 100%.
Operator: The next question comes from the line of Janardan Menon from Jefferies.
Janardan Nedyam Menon: I just want to go back to your guidance for Q3. Your comments suggest that things are going reasonably well. You have a consumer electronics ramp with your major customer into Q3. Automotive, you're saying inventories are normalized and you have a lot of design wins coming up; and medical, you're talking about signs of improvement. So your 2% quarter-on-quarter guidance at the midpoint sort of seems a little bit low given that scenario. Is there any headwind? How much do you expect currency to be a headwind into Q3 at the current rate? And is there any other like lingering effect of asset sales or anything like that, which is affecting your second half outlook?
Rainer Irle: If I do the math, I see 8% top line growth in the midpoint. And we are including like EUR 0.03 of headwind from the dollar at the midpoint, which is roughly EUR 50 million. If you exclude that with constant currency, it is about 10%. So very much as we had expected before.
Janardan Nedyam Menon: Understood. And then on the Austrian government payment, how should we think about that on an ongoing basis? How will that look like when you go into next year? Should we expect similar kind of amounts coming through?
Rainer Irle: No. It is more a catch-up thing this year, right? Overall, we said, I mean, there's a total investment of, let's say, EUR 500 million and a lot of that -- most of that already behind us. As the approval by the European Commission took a lot of time, we already spent money then in '23 and '24, and there will be a catch-up payment once everything has been then resolved by the Austrian government. We expect that for this year, and that will be a massive portion of the overall. So it's basically, let's say, for 3 years or 2.5 years. And then next year and over next year, there will be smaller payments coming.
Janardan Nedyam Menon: Sounds good. And my last question is just on the remaining sales. Timeline-wise, would we expect more of those kind of sales to come through before the end of the year?
Rainer Irle: Yes. Look, I think we don't want to be too precise there. It is progressing as planned, and you know the typical timelines in M&A processes.
Operator: The next question comes from the line of Sandeep Deshpande from JPMorgan.
Sandeep Sudhir Deshpande: I just want to touch base on some of these disposals that you're planning to do. I'm not talking about what you're going to dispose. But given that you are planning to adjust the portfolio, has there been any impact from customers or future customers that are more hesitant to do business with you because of this because you've not really laid out what your plans are on this? And does that impact the business going forward? And then secondly, I mean, you're talking about the ending of the inventory correction in the auto business. There was some evidence in the first quarter of the year, maybe in the beginning of the second quarter as well that there was some prebuilding that took place in the U.S. associated with the tariffs. Was that happening in the auto lighting market at all? Or was that completely in other parts of the auto supply chain?
Aldo Kamper: So on your first question, I'm not aware that any customers have raised any major concerns. I think also with the disposal of our Entertainment Lamp business to Ushio, I think it's another sign that we take these processes serious and we find good homes that actually also for our customers are beneficial because it basically gives stronger entities going forward that are committed to this business in the long term as well. So, so far, I have not heard any negative news on this, and we will continue to work towards these disposals and finding also solid homes for the business, so that it will continue. And I think you can see the rate of our design wins. That hasn't slowed down. Actually, if you compare to first half last year, actually, things is even a bit higher. And that kind of signals that we continue to be very much a close partner to our customers, and they're not really worried about this question of what potentially will be disposed. Although obviously, everybody, both externally and internally would like to know earlier than later, people also understand this is approach that takes time and you need to do it properly. On the prebuilding question, it's kind of hard for us to see that in detail. And when we look at our inventories, that have come down globally. China was strong for us again. So you also see overall global car production in China remains good and helps that we have good share there as well. So I don't -- yes, I do think that, of course, logically, prebuilding in the U.S. helps a little bit, but that was after a bit of hesitance in the beginning of the year when the shock just came, people were kind of figuring out what to do. And actually, we had some impacts in Q1 more in the other direction. So I would say overall first half, I don't think that's a real major factor for us, also given the fact that the U.S. is an important, but in terms of the region, the smallest market that we have.
Sandeep Sudhir Deshpande: Just a follow-up on China. I mean, the localization that is happening in China, have you seen any impact from that? And where do you see your automotive LED market share in China today? Given that China has been a player in the LED market for a long time, you have kept share there, but where is it today? And do you see anything changing with what the government policies are?
Aldo Kamper: Well, I think we are somewhat lucky that we are not considered to be a super strategic semiconductor. So there is no visible pressure from the government towards our customers to source more locally. Do they look at local alternatives? Yes. Has that been now already -- have they made meaningful inroads? No, not yet. If we look at the top 10 or the top 5, it hasn't really changed, and the Chinese are very much at the end of that ranking. And is that pressure noticeable? Well, it's noticeable in the sense that our customers obviously are under pressure themselves. There's a big fight going on in China between especially the EV makers. And of course, they're looking for cost downs as well, and we need to be able to offer those cost downs. So on the one hand, we are working very hard to bring our product cost down to be able to afford those steps and continue to be a partner of our customer. And at the same time, we continue to innovate, the example of the NIO car with our latest generation headlamp shows that it's both. It is, on one hand, cost sensitive. At the same time, it's also very innovative friendly, the Chinese market. So that helps us as well to defend our share. And finally, it's also about grabbing share from other international players. We have a much stronger position than anybody else in China on the automotive side. So we're benefiting from that with, for example, Samsung stepping out of the LED market in total, and also they had some share in automotive. That's, for example, also a place where, also in China, we are grabbing share, and we're seeing customers looking for the people that are in this business long term. And we are definitely considered the long-term player in this industry, especially in automotive. And so far, our market share is still in the mid-30s and hasn't materially changed.
Operator: The next question comes from the line of Harry Blaiklock from UBS.
Harry Blaiklock: I was wondering, are you able to give any color on the margins of the sold Entertainment & Industrial Lamps business or the remaining kind of auto lamps business? And then also the growth rate of that disposed business? Is it just in line with the overall segment that you flagged in the past in terms of flat to low single-digit annual declines?
Rainer Irle: Yes. Harry, that is correct. The growth rates are certainly not positive of that business. We sold it at an attractive EBITDA multiple. We always said that if we want to dispose something, it needs to have an EBITDA multiple of at least 6, and that was well achieved with that disposal.
Harry Blaiklock: Okay. Great. Very helpful. And then in the industrial end market, I know you mentioned you're seeing some green shoots, and you flagged earlier to another question that kind of one of those is increase in short-term orders. But is there anything else that you'd flag in terms of those green shoots and kind of anything that gives you confidence in the recovery there?
Aldo Kamper: Well, we see, on the medical side, more short-term orders coming back to us. So that signals that, that market seems to be reviving a bit. The same on the industrial sensor side. Also here, our customers are talking more positively about their business. They still have quite a bit of inventory to work through, but it not always fits, of course, what they need to build for their customers. So we also see short-term orders there coming in, which gives us hope that also overall demand will then either weigh the over inventory over time. And then on horti, the third quarter is always a strong quarter for horti. So we're seeing that increasingly. And in professional lighting also, actually, it's going quite well. Channel inventory is stabilizing in Europe and the U.S. So yes, is it a strong trend at the moment? Not yet. But are we seeing positive signals? Yes, I think we do. And at least third quarter looks quite good. I mean, with the numbers that Rainer pointed out, double-digit growth versus current quarter. I think that definitely a strong signal across all of our businesses at the moment that things are improving. The question mark, of course, still is, will it remain? Or does the volatility in the market still put a bit of a damper on that in last quarter of the year. But let's see. At the moment, we are getting increasingly comfortable.
Harry Blaiklock: Great. And then one last question just on pricing. Are you able to give any color on how that's progressed as we've gone through this down cycle? And then how do you think it's going to go going forward through this year and into '26? And then any differences in optical versus CMOS as well?
Aldo Kamper: Well, CMOS, it's usually much more of a, how to say, a locked-in market. I mean, if you make an ASIC for customer, that's a customer-specific product. So you have usually agreed pretty much on the price curves already upfront. And as long as the volumes more or less come in the range that were indicated, then you would follow those. On the ALS side of things, also there with new products and a lot of the growth comes out of new products also there, you usually have agreements that gives you some view into the next quarters with predefined price curves. And so that's also no surprise there. On the LED side, it's a bit dependent on the new categories. It's similar with the design-in products like EVIYOS. Also there, we work with our customers with predetermined pricing step-downs over the years. And it does correlate with volume. So if they push programs out, we actually go back and say, "Hey, you pushed the program out, so volume is coming later." Then we can also do our price step only later. Of course, in more established product categories, for example, interior of the car, where there is more of a choice for our customers, there we do see price pressure, and we have to combat that with additional product cost optimization, of course. Overall, for the LED business, it is still 3%, 4% price decline on a like-for-like basis. And that is a bit higher than the last years. But last year were also kind of strange years given all the energy and other prematerial cost increases that kind of skewed that picture. It is not that different from the price declines that we have been used to in this business in a longer perspective.
Operator: The next question comes from the line of Robert Sanders from Deutsche Bank.
Robert Sanders: Yes. Maybe a question about the 16 beacons. There's about 30 million cars on the road in Spain. So that suggests quite a small market for you. But if that was mandated in the EU, what sort of potential market size could we be looking at? I know the Spanish are pushing for that. And what is your likely share? Is this a differentiated product? Or is it more of a commoditized high-end intensity LED? Or is it something where you can stand out? And I have a follow-up.
Aldo Kamper: Well, actually, even the Spanish opportunity is not that small. As you say, I think it's even more towards 40 million, not towards 30 million cars in Spain, and everybody has to have one of these. This is a product in the double-digit euro range. So it is quite a nice opportunity for our fixture business. So this is run by our ASSP division as it has to do a lot with the retail channel in the automotive space. So people like Carrefour, for example, would be a customer for that in Europe. And our product and brand strength there make the difference that we do grab a reasonable share of that market and also can command a good margin for that. So we feel that already the Spanish opportunity is a solid double-digit opportunity for us. And if Europe would copy this, that at least for the years that everybody needs to equip would be a wave of demand that comes our way. So we're hoping that this example spreads, because it makes a lot of sense, this product. I think from a safety perspective, it's a helpful feature, both the flashing light as well as this Internet connection that you can nowadays then use in giving the signals in the navigation systems of the cars that are ongoing. And that I think a tremendous benefit in terms of safety. So we truly hope that it spreads. And of course, then you're talking hundreds of millions more of cars in Europe overall.
Robert Sanders: Got it. So potentially a triple-digit market per year?
Aldo Kamper: Over time, yes. It would be good.
Robert Sanders: And just a follow-up on the Chinese mass market. Obviously, last year, the Chinese market continued to order while the rest of the world was in inventory correction mode. I'm just interested, there are stories now around the excess inventory in China in the mass market, production cuts at large players like BYD. Have you seen any sign of any sort of softness coming through? Because I would imagine you would see it probably sooner than some of the semiconductors.
Aldo Kamper: Yes, it's not a tremendous step down, but China was a bit softer quarter-on-quarter. So a bit of that is visible, yes.
Operator: [Operator Instructions] There are no more questions at this time. I would now like to turn the conference back over to Juergen Rebel for any closing remarks.
Juergen Rebel: Thank you very much to everyone who dialed in. Thank you very much for your questions. And if there are any follow-ups, please reach out via e-mail, particularly to our Investor Relations team. And with that, I'd like to close the call, and we're looking forward to meeting you in the next call. Thank you very much.